Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss BurgerFi International's financial results for the second quarter ended July 3rd, 2023. Joining us today are newly appointed Carl Bachmann, CEO; and Chris Jones, CFO. Following their remarks, we'll open the lines for your questions. Before we begin today, I want to remind everyone that this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be related to BurgerFi's estimates of its future business outlook, liquidity, store opening plans, same-store sales and restaurant operating margin growth plans, prospects or financial results, including projected sales, restaurant EBITDA. Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely result in similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause the company's actual results to differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in the annual report on Form 10-K for the year ended January 2nd, 2023, and those disclosed in other documents that the company files with the Securities and Exchange Commission. All subsequent written and oral forward-looking statements attributable to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. The company undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements, except as required by law. Given these statements and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion may contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see the earnings release for the second quarter 2023. I would also like to remind everyone that this call will be available via telephonic replay for two weeks starting today. A webcast replay will also be available via the link provided in today's press release as well as on the company's website at www.burgerfi.com. Now I would like to turn the call over to BurgerFi's new CEO, Carl Bachmann. Carl, please go ahead.
Carl Bachmann: Thank you for joining us today and we appreciate your interest in BurgerFi. Let me begin by thanking our entire team, franchisees and employees for their dedication and hard work in this challenging environment. I am so excited to be here on my inaugural earnings call as the new CEO. I am also joined by Chris Jones, our newly appointed CFO. My plan this afternoon to discuss why I chose to join the company, delve into my intentions at a high level to strengthen the foundation and then discuss recent developments. Following that, Chris will review the quarterly financials in greater detail and comments on our 2023 guidance. While new to the company, I've been a long-time fan of Anthony's and BurgerFi and I'm a foody at heart. In fact, the chef-driven focus on both brands is part of what validated my decision to assume the leadership role of this exciting organization. Anthony's and BurgerFi are both high-quality brands with strong potential ahead in my opinion. I really view this opportunity as a perfect match for my career and I could not be more thrilled to be here. My industry background spans 40-plus years and I've been involved in both fast casual and casual dining concepts during that time frame as both a franchisor and franchisee. Most recently, I spent 6.5 years with a large fast casual better burger concept serving as COO before being promoted to President. Under my leadership, the brand experienced double-digit system-wide same-store sales growth over an extended period, while significantly expanding its corporate and franchise unit footprint. The company's second quarter performance is indicative as to why I'm here today as the new CEO, providing what I believe is a significant opportunity for investors, so much so that I invested heavily into BFI equity when I started. So I'm firmly aligned with our shareholders. With only a little over a month on the job, there is no question we can do better as the challenges both brands face are not new to the industry. To say that I've seen it all before and prevailed is not a stretch. To drive our turnaround, I'm going to be using a similar proven playbook that I executed previously at other brands. Furthermore, all decisions will be made by following what we call the 3Ws. It must be a win for the guest, a win for the team members and a win for the shareholders and franchisees. This approach will ensure we are making the right decisions. Since joining the company on July 10th, my main priority has been meeting the teams and the franchisees while immersing myself in the restaurants to learn more about the food. I've been so excited to work the pizza oven and flip the burgers as I'm a hands-on leader. As we learn more, I'll be working with our talented teams on traffic driving initiatives as well as margin expansion. To that point, I've already mapped five strategic priorities and have already seen a change for the positive. Priority number one, infrastructure. It starts with employees. I believe we must have the best team on the field to play, and they need to develop and train them properly. Once they are on the field, you need to keep them engaged to keep them as tenured leadership in the stores and in the field is critical to our success. I, therefore, plan to focus on robust manager development at the restaurant level, where we really need great field generals as the general managers drive the business every day. From a supportive perspective, we have adopted the rally cry. If you aren't serving the guest, you are serving someone that is. This direction will lead to world-class field support which creates a culture of winning and drive significant improvements in performance and turnover. This is relevant to our 2Q results where we have seen pressure from higher turnover. However, at BurgerFi, we've seen meaningful improvement in hourly and management turnover, now just hovering above industry benchmarks. At Anthony's, hourly turnover is better than industry benchmarks, and we are seeing improvements in management turnover. We plan to build upon this during the remainder of the year and expect to see continued improvement in the labor line at BurgerFi stores and consolidated BurgerFi. We know our labor costs are an opportunity and we are already well on the way to fixing this. Priority two, taste and quality, which are paramount to everything we do and is why we're going to make sure we continue to have the best products and innovative LTOs. As you may recall, in February, BurgerFi launched its award-winning BBQ Rodeo Burger, which did so well that we extended the LTO and rolled it out a new patty melt version. Meanwhile, Andy's launched Mike's Hot Honey and Thick Cut Pepperoni Pizza and Mike's Hot Honey Wings, which have both been very successful. These are great achievements that we can build upon. With both these brands, one thing that must remain sacrosanct is taste and quality. And while we have some wins, there are also things we need to fix. At BurgerFi, we have been focused on improving the products and customer experience with several initiatives expected to reach stores during the second half of 2023 and directly address the biggest challenges the brand faces today. Some of these include launching a much-needed new crispy chicken and grilled chicken sandwiches and improving the milk shakes. In both instances, we currently run below industry average in terms of contribution and combined should have a positive impact to top line. Perhaps the most important opportunity is fixing the French Fries, which currently accounts for a number of customer complaints and as simple as changing processes in the kitchen. The bottom line is that we cannot accept performance like Q2 and are committed to driving better results for all of our stakeholders. We will also ensure that our teams are proud of the products that we serve. Priority three, defining our portfolio and understanding where we're successful and where we're struggling from a real estate, regional or market perspective and then, of course, evaluating the portfolio inside the four walls. Is the ambience right? Is the look, feel and value, right? Does the platform promote ease of execution? And how the company can best support the franchise community? Having spent much of my time speaking with our franchise partners, I know that we need to do better. I will touch on this later in my prepared remarks and is critical to both brands to accelerate unit growth. Priority four, Gold Standards is a term that defines our pride in product, process and facility and creates brand promises. We will establish what defines each and then build our restaurant-level audit process to ensure we deliver consistently. This is how we hold our teams accountable on a daily basis. This alone should be transformational for the company, 40 days on the job, and we've already made great strides in changing this culture. Why is this important? This change will drive employee engagement and also drive efficiencies in everything we do from food cost to support costs. And finally, priority five, telling the world about the brand through intentional marketing efforts. We build our loyalty clubs and drive frequency through recognizing our loyal fans. We will continue to drive our digital growth through our website and apps while maintaining our volumes through our third-party delivery partners. We will plan to address opportunities with a barbell approach, focusing on our award-winning products as well as creating value opportunities to help our guests fight inflation. We will punch above our weight, creating awareness and exude confidence in everything we do. A perfect example that we want to share is that for the third consecutive year, BurgerFi has earned a spot in the top three of USA TODAY 10Best Readers' Choice Awards for the coveted Best Fast Casual category. As the highest-ranked burger-related chain among the nominees, we're incredibly grateful to each and every one of you who voted for us. While most of my comments today have been focused on the overall strategic level, I did want to spend a little more time on our development pipeline. As of July 3rd, our portfolio consisted of 174 BurgerFi restaurants, 27 corporate-owned and 87 franchised and 60 corporate-owned Anthony's. During the second quarter, we opened three new franchise BurgerFi restaurants, bringing our year-to-date openings to five. Similar to others in the restaurant industry, permitting and construction delays have affected our franchise partners' ability to open their restaurants on the original time lines. As a result, for the full year, we now expect new store openings to come in at the bottom end of our guidance of 15 to 20 new restaurants, all of which will be franchised. Of these, four planned to open in the third quarter including in this number is the first new franchise Anthony's location. As I just noted, our first-ever co-branded BurgerFi and Anthony's location with our franchisee NDM Hospitality Services is still on track to open in the second half of the year. As a reminder, our agreement with them calls for three franchise Anthony's locations in Florida over the next two years. The second and third Anthony's locations through the NDM agreement are expected to both be smaller Anthony's prototypes, one of which is slated to open the Miami World Center development near the Miami Brightline Station. As I stated earlier, I plan to use my background in running successful franchises to help further develop the BurgerFi franchise business and establish the Anthony's franchise business. To that point, one of my priorities this year will be finding well-capitalized franchisees with restaurant, retail and hospitality experience. Bringing these operators into our system result in more disciplined and profitable growth over the long-term. I have already begun negotiations with several interested parties for multi-unit Anthony's franchise deals. I look forward to sharing more in the coming quarters. In closing, and before I hand the mic to Chris Jones, I will say that having been at the company for roughly a month, I am more confident than ever, that I made the right decision to join the company for two reasons. The first is that we have two very high-quality brands that are on trend with the consumer. The second is that the challenges both brands face are not new to the industry. Fixing won't happen overnight, but believe it will happen, and these improvements will begin to become evident to you, our stakeholders. I will now turn the call over to our new CFO, Chris Jones, who will provide commentary on our second quarter 2023 performance. Go ahead, Chris.
Chris Jones: Thank you, Carl, and good morning, everybody. I'm so glad to be here and look forward to working with you. Like Carl, I was drawn to BurgerFi by the strong brands and established financial sponsors that believe in the brands and the opportunity ahead. I also came knowing that there are challenges ahead. I see great potential for the business and have confidence in Carl and the BurgerFi team leading the company to increase profitability and investor returns. I firmly believe that my prior experiences have uniquely prepared me for what lies ahead. Having spent over a decade as a coverage analyst, I know performance, like what we are delivering today isn't going to cut it. Additionally, my time in the industry should allow me the ability to effectively drive and direct change that we can that can deliver the sort of results that are needed. The path to improved profitability is not a complex one. It will require improved execution at the stores and for management along with improvements on cost controls. Rewarding success when it's earned while also demanding accountability from all members of the team will be central to this effort. 40 days into the job, and there are themes already starting to emerge. One example is to further yield operational efficiencies from the merged operations between BurgerFi and Anthony's. At the same time, existing operations, including supply chain have not fully embraced technology and analytics that could help drive meaningful improvements in productivity. Of course, Carl has already touched on improved labor productivity. I'm not in a position to quantify these opportunities today, but I would fully expect to discuss them on our next call or potentially even sooner. Now briefly looking at key highlights of the second quarter. Second quarter total revenues were $43.4 million, decreasing 4% from $45.3 million for the same quarter last year. Anthony's contributed $31.9 million to revenues in the current period. The decrease in revenues is the result of a decrease of 15% in same-store sales at the BurgerFi company stores and a 1% increase in same-store sales at Anthony's restaurants. Restaurant level profit margin came in at 13.8% or down 50 basis points year-over-year. During the quarter, the company saw a positive improvement in food, beverage and paper cost, a trend that we believe will continue with the possibility for further improvement. As you've heard from others in the industry, inflation is weighing on all commodities, except for beef and new contracts are yielding lower forward pricing. These positive trends were more than offset by higher labor and other expenses, unfortunately, largely due to lower sales volume in the period. Shifting to our individual brand results. The BurgerFi corporate-owned restaurant sales decreased 12% to $8.9 million, reflecting a decrease in same-store sales. System-wide sales for BurgerFi in the second quarter decreased 9% to $38.8 million compared to $42.5 million in the year ago quarter, primarily due to a decline in same-store sales, coupled with the transfer of unperforming company stores. BurgerFi system-wide same-store sales decreased 10% for the second quarter compared to the same period in 2022. For corporate-owned, BurgerFi same-store sales decreased 15% and franchise restaurant same-store sales decreased 8%. BurgerFi restaurant level operating experiences increased 500 basis points to 94.7% for the quarter compared to 89.7% in the prior year second quarter due to loss of leverage on fixed costs due to same-store sales declines. As mentioned earlier, food and paper margins continue to be a positive story, a trend we expect to continue despite the continued pressure on beef prices. While we are not immune to these price increases, we don't expect to see the same level of increases that others have seen largely as we recently diversified at our beef distributors as we look to drive higher utilization with local and regional providers affording freight efficiencies. I would also echo Carl's earlier comments about labor starting to move in the right direction. There are also additional opportunities as previously noted by Carl, where we expect that a handful of menu updates and additions, this should be a positive for the top line, while also addressing some of the most reviewed issues within our restaurants, namely the fries. Turning to Anthony's. Restaurant sales were $31.9 million in the second quarter compared to $31.8 million in the prior year. The increase was driven by a 1% increase in same-store sales when compared to the second quarter of 2022. Staying with Anthony's restaurant profitability, Anthony's restaurant-level operating expenses improved 60 basis points to 83.8% for the quarter compared to the prior year second quarter. We continue to benefit from positive trends in fresh chicken wing prices, a trend we expect to continue through third quarter and into early fourth quarter. Additionally, we continue to see better pricing in Mozzarella imported can tomatoes, flour, oil, onions all key ingredients for a company that makes premium Italian food. We do expect to see some modest offset from higher anthracite coal prices collectively this should be a positive trend for the third quarter and potentially the fourth quarter. Labor was flat on rate and down on dollars relative to the first quarter '23, we expect these trends to improve in the back half of the year. Assuming trends stay consistent in the north, and we see this typical seasonal uplift in the South in the coming weeks, we expect restaurant operating profit margins to improve in the back half of the year at Anthony's. Back to consolidated results. We reported a net loss of $6 million in the second quarter compared to a net loss of $60.4 million in the year ago quarter. This year's net loss included $0.5 million of share-based compensation expense, $3.3 million of depreciation and amortization, $2.2 million of interest expense, $1.1 million of restructuring costs, $0.3 million of merger integration costs and $0.2 million of legal settlements, with the latter two, all inclusive within general and administration expenses. Adjusted EBITDA was $2 million in the second quarter compared to $2.6 million in the prior year second quarter. Moving onto the balance sheet. Our cash balance on July 3rd, 2023, was $10.7 million compared to $11.9 million in January 2nd, 2023. When considering our available but undrawn $4 million line of credit, we had $14.7 million of liquidity at the end of the quarter. The decrease in cash was the result of term loan in line, line of credit repayments and capital expenditures and by cash used in operations due to payments for legal settlements, professional services, primarily in connection with expenses for obtaining financing under the credit agreement. We are also in compliance with all of our covenants at the end of the quarter. Now turning to our fiscal 2023 outlook. We are maintaining our 2023 guidance. However, we are guiding to the low end of the previously provided range and those ranges are as follows. Total revenue of $175 million to $180 million, which assumes a low single-digit increase in same-store sales and the addition of 15 to 20 new franchise restaurants, including one new Anthony's, adjusted EBITDA of $10 million to $12 million and approximately $2 million in CapEx for the year. With that, operator, please open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time, we will take our first question, which will come from Peter Saleh with BTIG. Please go ahead.
Peter Saleh: Great. Thanks. Good morning and congrats to both of you on your new roles. Carl, I just want to start, I recognize it's early, but maybe you can just give us a brief assessment on maybe some of the low-hanging fruit that you see primarily on the menu. I think you mentioned barbell approach in your prepared remarks. Maybe if you could just elaborate a little bit more on that and just give us a little bit more color on where you see some of the holes in the menu and the opportunities going forward.
Carl Bachmann: Sure. My pleasure. Nice speaking with you. Yes. I think -- let's start with BurgerFi. I think that there are some opportunities process-wise in the menu. So we really felt that there was a lot of guest feedback around the quality of our French Fries and how it was delivered to the guest. So we're really working on process there to fill that gap. I believe we've solved the process problem that will deliver a much crisper fresh French Fries. And that was a large part of guest feedback. So I think it was really vital. That was a big gap. I also think there's a gap. We don't offer really what I think is a compelling crispy chicken sandwich. So we have elevated that in the first 30, 40 days we've worked on a lot of R&D around the new crispy chicken sandwich as well as a new grilled chicken sandwich, which is a complete gap in the menu in our segment. So those two items alone should bring some incrementality and really cover us on that veto vote item. So it really broadens the menu. So those are the first two big areas that we focused on, on the BurgerFi side. On the Anthony's side, I think there are some gaps in the menu as well. We want to be clear and focused and keep a streamlined menu, but I think it's important that a classic Italian restaurant delivers certain things. And one of the opportunities that we're working on is to launch here in the near future, a fresh beginning meat balls dish as well as an Alfredo Pasta Dish. And that will also help us launch a new Alfredo-based artichoke and Alfredo-based pizza. So those were gaps in the menu that we identified right away. And I think that will just broaden our guests' interest in our brands.
Peter Saleh: Great. And then I just wanted to ask on the footprint, the units that you guys have in the ground, say, when you look at it, do you feel like you need to shrink to grow? Or do you feel like you have the right size currently in the right penetration in certain markets? What is the, again, I know it's early, only a month or so, but how do you envision the strategy from here to grow the base at both BurgerFi and Anthony's?
Carl Bachmann: Well, I mean, two different brands and two different parts of -- in their history and where they're at. I think on the BurgerFi side, we have a great opportunity to kind of grow and work ourselves up the I-95 corridor. And I guess both brands do that as well. There's so much opportunity to build out of Florida. We've built a great reputation as a leading burger brand in Florida and I think it's time for us to expand our horizons. There's a lot of great franchise operators out there that are looking for the next big brand. So I think it's very smart of us to strategically work our way up the East Coast and work that is one of the primary strategies around BurgerFi and looking for the right franchise partners that have, again, I think I mentioned it in the call earlier, the right operators with the right background and experience. We need true restaurant operators to help grow our franchisees on the BurgerFi side. On the Antony's side, I think it's time and you talked about footprint, we can talk about it strategically from a geographic perspective, but I also think you need to think about Anthony's from a physical footprint and we have re-modeled in [indiscernible] of Anthony's that performs very well, smaller footprint, much easier to operate. And I think this is kind of the launching pad that we'll work on to create a very, very inviting opportunity for new franchisees. So that will be more of a strategy around finding right franchisees to help us grow in our existing markets and in new markets. I think from a franchise perspective, there's two strategies that you employ. You go to strong markets where we have brand awareness from corporate as well as franchise and you create like what I would call a fortressing strategy around those markets where we already have brand awareness. And I think that is probably the smartest strategy. I always say when we're growing franchise business, we should grow like a bush not like a vine so that we can really get the economy of scale we can get the economy of scale when I talk about guests, talks about operations, talk about supply chain and as well as market penetration. So I think those are the strategies that we'll employ over the next few months as we kind of jump into this thing.
Peter Saleh: Great. Very helpful. And then, Chris, just -- you come in with fresh eyes and you get to see this business for the first time. Just curious as to if you see any low-hanging fruit on the cost side. I think you mentioned diversified some of the beef distributors or suppliers. Any other opportunities that you see going forward in the back half of the year?
Chris Jones: Absolutely. So I would reiterate what we said on the call, which was, we do see food costs to continue to be a positive trend. We have also seen from a labor perspective, improving trends. One of the things that's happened over the last couple of months as we've seen an improvement in employee turnover, particularly on the hourly labor front. And so we see dramatic reduction in training hours, which has been pretty significant. And we think that trend is going to continue. I would say that there's also a lot of work to be done just in sort of the analytics in terms of getting better analytics on overall food costs there as well, I don't think that the organization is fully adopted and embraced sort of the technology that the industry really uses today. So from that perspective, I think we greatly reduce food waste, be more active with our ordering. All those things, I think, are sort of things to come.
Peter Saleh: Great. Thank you very much. I'll pass it along.
Chris Jones: Thank you, Peter.
Carl Bachmann: Thanks, Peter.
Operator: And our next question will come from Mike Albanese with EF Hutton. Please go ahead.
Michael Albanese: Hi, Carl. Hi, Chris. Welcome to the company. Glad to have you. I won't talk for you with too many questions to a specific segment. I know it's still early. I wanted to ask more specifically on the BurgerFi side. I mean, we were arguably seeing some improving trends. And then this quarter, obviously, really tough same-store sales, comps. I just wanted to see if you could add some color. And it seems like really the decrease in the top line that was driving the weaker unit level contribution, but if there's anything kind of also contributing to that if we talk about that a little bit. But just any color really in terms of what you're seeing in the top line with BurgerFi what's driving these significant decreases? Is it purely macro? Is it more under the hood?
Carl Bachmann: Yes, I think I kind of referred to a little bit in the last question, but I think we have a whole missing segment in the menu. That really kind of narrows the funnel. And I think we need to open that up and that's why we want to launch. I mean we're not even in the chicken wars and we need to get into the chicken wars. We -- burger brands should run 10%, 12%, 15% of chicken mix. And so we have an opportunity there. It's really a veto vote item so that you have really a select option of proteins on these great builds that we have. So we think that -- I think that that's a huge opportunity for us to broaden really, again, the guest funnel, and draw new guests in. So I think that's an opportunity on the BurgerFi side. We are seeing a little bit of improvement now and I think we'll continue to see that as we progress. We've also shored up our management teams and our leadership teams as well in the last 30 to 40 days. So I think execution wise, we will continue to improve there. So I think those are really good signs of the future for the BurgerFi side.
Michael Albanese: Okay. Great. And then are you seeing any differences kind of regionally previous leadership team talked a little bit about how basically, the impact of COVID, Florida seeing a big boost as Northern has moved down to Florida and then as things kind of normalize, saw some attrition there and then kind of a normalization up in the Northeast, excuse me, I mean just are you seeing that trend? Is that still playing out? Is that behind us?
Chris Jones: I think it is behind us. And I think it's even reversing a little bit. I think people are getting back to maybe the normal lifestyles normally where they were. I don't think you're seeing quite as much traffic in Florida as you did even last year. But a good example of this would be on the Anthony's side. We see the northern restaurants outperforming the southern restaurants currently. So we see that kind of a resurgence of people coming back into normal patterns and moving back to normal lifestyles, albeit people are still working hybrid or remote more people are traveling and more people are going back to the offices slowly, but surely. So we're seeing a transition back. So probably transversely from what you saw in the last year or so. So I think they are normalizing and reversing a bit, which I think bodes well for us in the long-term.
Michael Albanese: Got it. All right. Appreciate it. And then just one more for me kind of as all we just talked about as it relates to your guidance basically holding guidance the same, just targeting kind of the low end of the range. I mean can you just tell me a little bit what's baked in there in terms of, I guess, same-store sales and growth moving forward? Or are you really kind of -- is it new store openings that are going to help drive those numbers? Probably a combination of both, but any additional context would be helpful.
Carl Bachmann: I think that's about right. I think that's a combination of that. We certainly, as you know, we do have a back -- our new store growth is back-end loaded. We also get some benefit of some closing of some underperforming stores in the quarter and last quarters as well. We do expect to see a sequential improvement in comp store sales. We actually get easier comparisons there as well. So we do think we'll start to see better trends there as well. So Carl actually acknowledged a little earlier that we are seeing better trends from the Anthony's stores in the North. We expect that trend to sort of pick up in the South, particularly as we start to see sort of the snowbirds coming back, from a seasonality perspective. And as you said, we are seeing mixed performance but growing and directionally improving performance from BurgerFi as well.
Michael Albanese: Okay. Got it. All right. That's it from me. Thanks guys and good luck to you.
Chris Jones: Thank you very much.
Carl Bachmann: Thanks, Michael.
Operator: [Operator Instructions] Our next question will come from Eric Dusansky with InflectionPartners. Please go ahead.
Eric Dusansky: Good morning, and Carl and Chris, welcome aboard. Thank you for the overview this morning. Both of you, we're in the early stages of a turnaround, and you both are probably still trying to find out where the men's room is. But if I may, are you seeing -- starting to see some potential green shoots of a turnaround? And if so, if you can kind of articulate that a little bit, that would be great.
Carl Bachmann: Yes, I think we are starting to see something different from both the top line and from a cost perspective. I think shoring up our operational prowess around the right leadership in the teams, connecting the leadership here, creating a culture here of winning I think has got people excited. I think we've kind of adopted this rally cry here in the sports center that if you're not serving the guests, you're serving someone who is -- and that's important because we've sent a message to our franchisees and to our employees across the country that we're here to support them. And I think they're responding really well to that. That's important to me, and I think it drives the business. Literally, you've seen same-store sales improving in BurgerFi on the corporate side and the franchise side in the last month or so. Anthony's, I alluded to on an earlier question, the northern stores have positive comps and continuing to grow. So we see that as a really a strength for us. And really, as you get into kind of August, end of August and you get kind of out of that dog days of summer and you get kind of into the fall, I think you're going to see, like Chris alluded to, the snowbirds coming down here, and we're going to be launching new items to excite these people that haven't seen it since the earlier last year. So we're really excited about that side for the south side of Anthony's. So I think there are quite a few green shoots there. And I also think the opportunity to increase the funnel, like I mentioned earlier, with new items that are traditional. I mean, we've got to have a great spaghetti and meatballs at an Italian restaurant that delivers such great products. So I think that was a miss for us and an opportunity. So I think that will open up a new, a new guest again, increase that guest funnel and create new trial. On the BurgerFi side, we have a gap in the menu. We don't have a grilled chicken offering. And once we have the grilled chicken offering, it opens all kinds of opportunities around what we do with that grilled chicken product. So I think it's important to offer different proteins. We've done a great job having the Beyond Burger, having VegeFi, having a great beef product with a never ever and now we're adding that grilled chicken protein, which was a huge gap. And finally, such huge amount of guest feedback around our French Fries and our process. We use a fresh-cut potato and it's a phenomenal product but our process was flawed. So our ability to change the process already is impacting our guests day one just in our testing. So I think there's quite a few opportunities that we've identified in the first 30 days. And as we kind of go down that path, I'm sure there be other things that we'll launch when we speak again. But absolutely, there's a lot of big opportunity on the horizon.
Chris Jones: Eric, I might add to that as well and say I think that you've seen a pretty much a sea change here in the corporate office as well in the restaurant support center, definitely a much more engaged employee base. I think people are very excited by Carl's presence as well. So I think that's really an important element. People seem really ready to go and really want to make this work.
Carl Bachmann: I think -- another thing we might want to add to that, just discipline around our decision-making process. And again, I alluded to it in the script, but I think it's important to stress that we're making very educated smart decisions using a very simple formula, and that is it has to be a right decision and a win for our guests, a win for our team members and a win for our stakeholders, which are our franchisees and our shareholders. And every decision will really have to fit that rigor. And I think that alone, to me, is a huge green shoot because we're going to make good, educated smart decision moving forward, and that's how we build our strategy. So I really think that, that's a huge opportunity for the organization.
Eric Dusansky: Carl and Chris, thanks again and good luck to you.
Carl Bachmann: Thank you very much.
Chris Jones: Thank you.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Carl Bachmann for any closing remarks.
Carl Bachmann: Yes, I'd just like to thank everybody for listening to today's call. We look forward to initiating our plans over the next few months and really excited to speak with you when we report our third quarter results in November of 2023. Thanks again for joining.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.